Operator: Hello, and welcome to the PyroGenesis First Quarter 2025 Business Update Conference Call. At this time, all participants are in a listen-only mode. It is now my pleasure to introduce Vice President of Corporate Affairs, Steve McCormick.
Steve McCormick: Thank you, operator and good morning to everyone. I'm Steve McCormick, Vice President of Corporate Affairs for PyroGenesis. And thank you for joining PyroGenesis 2025 first quarter financial results and business update conference call. On the call with me today are Mr. P. Peter Pascali, President and CEO of PyroGenesis; and Mr. Andre Mainella, the company's Chief Financial Officer. The company issued a press release on Tuesday, May 13, 2025, containing the financial results and a business update for the first quarter ended March 31, 2025 which can be viewed on the company's website. If you have any questions after the call or would like any additional information about the company, please contact the Investor Relations department, and we will try as best as possible to answer questions if they are of a public nature. The company's management will shortly provide prepared remarks reviewing the operational and financial results for the first quarter ended March 31, 2025. I'd like to remind everyone that this discussion will include forward-looking information that is based on certain assumptions and is subject to risks and uncertainties that could cause actual results to differ materially from historical results or from results anticipated by the forward-looking information. Forward-looking information provided in this call speaks only as of the date of this call and is based on the plans, beliefs, estimates, projections, expectations, opinions and assumptions of management as of today's date. There can be no assurance that forward-looking information will prove to be accurate and you should not place undue reliance on forward-looking information. PyroGenesis disclaims any obligation to update any forward-looking information or to explain any material difference subsequent events -- between subsequent actual events and such forward-looking information, except as required by applicable laws. In addition, during the course of this call, there may also be references to certain non-IFRS financial measures, including references to EBITDA, modified EBITDA and backlog, which do not have any standardized meaning under IFRS and therefore, may not be comparable to similar measures presented by other companies. For more information about both forward-looking information and non-IFRS financial measures, including a reconciliation of EBITDA and modified EBITDA, please refer to the company's management discussion and analysis which along with the financial statements are available on the company's website at pyrogenesis.com and at sedarplus.ca. Also a reminder that PyroGenesis follows Canadian Generally Accepted Accounting Principles or GAAP, where revenue is accrued not on sales but on a model that reflects a percentage of the work completed for any given contract during the period, which can vary based on both the nature of the projects in-house and on a client's own scheduling and logistical decisions, both of which can impact production milestones and the company's ability to book revenue in that quarter. During these recent years of supply chain, logistical and inflationary uncertainties, those issues have been more frequent and intensifying and as stated in previous reports, the company's revenues are likely to be irregular and unpredictable quarter-to-quarter as contract-related revenue fluctuates based on the timing of contract starts and also due to those reasons just outlined. With that, we'll turn to the business review. I'll start with a quick review of some of these company's top line results, followed by a summary of some of the key business activities that occurred during the quarter, before turning the call over to our Chief Financial Officer, Andre Mainella. For revenues, for the first quarter of 2025, the company exited the quarter with revenues of $3 million. As stated in yesterday's news release, this is a decrease of 14% year-over-year. And given the improvement across our last seven quarters on the surface, this may seem like an unusual regression. But if you look at previous year's results, Q1 has traditionally been a slower quarter. In fact, in nine of the last 10 years, our first quarter reported either the lowest or the second lowest revenue for the year. And in six of those 10 years, Q1 was indeed the lowest revenue quarter. This is an example of what I stated in the opening remarks, and it's why we specifically include the statement about how we anticipate that revenue can be irregular and unpredictable quarter-to-quarter based on a number of factors, most often related to when projects start and what phase they are in. And in some areas, it can be related to cash on hand and these continuously fluctuating economic times, clients sometimes have their own challenges with cash flow, which can have effect on our company's revenue. Now on to gross margins. For the first quarter, gross margin was 27%, a 5.3 point increase from the 21.7% margin for the same period one year ago, which is an improvement of more than 24% year-over-year. Similar to the revenue numbers, while the Q1 margin is down from the previous two quarters of the second half of 2024, it is in line with our historical Q1 numbers and ahead of the Q1 margins for the previous three years. In fact, over the past 10 years, margins for the first quarter have averaged about 22.5%. So while we always want to see the margin percentage in the 40s and above, we don't see this quarter's margin as reflective of anything other than the usual slower start to the year that has historically been the case. And in comparison to some of the industries we serve or support, the aluminum industry is currently reporting 24% margin for the first quarter. Metal and mining is 32%, Industrial machinery is 37%, the aerospace and defense industry is at 22%, and iron and steel is at 20% margin for Q1. Now on to backlog. Our backlog stands at $52 million, a very strong number and up there close to our all-time high of $54.4 million from Q3 of 2024. For those that need clarity on backlog, backlog is signed or awarded contracts or what some companies refer to as order book and it outlines future revenues for the company that will be added to the financial results over subsequent quarters as projects are started or project milestones are reached on a percentage of work completed basis. In management's opinion, a strong backlog helps to show the strength of the long-term outlook while also illustrating the wide variety of different types of contracts that the company can secure, which we like to call our multi-leg stool identity. And of course, it shows the minimum future revenue for the company as these projects progress to completion. And now on to some key production highlights for the first quarter. Please note that projects or potential projects previously announced that do not appear in this update summary or within the MD&A or outlook should not be considered at risk. Noteworthy developments can occur at any time based on project stages and the information presented is a reflection of information on hand of some, but not all projects. Projects not mentioned may not simply have passed milestones worthy of discussion. Starting with a brief reminder of the company's business strategy. PyroGenesis leverages an expertise in ultra-high temperature processes to create a technology ecosystem for heavy industry. From early-stage pilot to full commercialization, our technology solution set is concentrated under three verticals that align with the economic drivers that are key to have history. First, for the Energy Transition and Emission Reduction vertical, which is where fuel switching to PyroGenesis' electric-powered plasma torches helps heavy industry reduce their energy costs, their fossil fuel use and their emissions. During the quarter in this vertical, we had a few announcements, but I'm going to focus on two in particular that management believes are very key for the company going forward. In February, the company announced it was the winner of a tender bid process, resulting in a contract for approximately $2.4 million with Norsk Hydro ASA, the Norway-based aluminum and renewable energy company that is often considered one of the most respected and influential leaders in all of heavy industries. In fact, Norsk Hydro has become one of the largest aluminum producers in the world, with 32,000 employees across operations in 42 countries and 2024 revenues of $18.3 billion. Norsk Hydro intends to replace fossil fuel burners with PyroGenesis' plasma torches to test melt aluminum in Hydro's research and development casthouse in Sunndal, Norway. That facility is the largest and most primary -- most modern primary aluminum plant in all of Europe. Hydro's stated goal is to eliminate the use of fossil fuels across the entire aluminum value chain, and they partnered with us to kick off that journey. And second, in March, the company announced a memorandum of understanding that outlines our co-venture between PyroGenesis and the Power Conversion division of GE Vernova. We have previously noted in an earlier outlook that we were in negotiations with a large global manufacturer of energy equipment to co-venture with the company on the electrification of third-party furnaces. The co-venture with GE Vernova is the result of those negotiations. The MOU initiates discussions toward a multiyear strategic collaboration in the development and testing of PyroGenesis technologies that replace fossil fuel combustion and high temperature processes with all-electric plasma torches. This co-venture will specifically target multi-megawatt industrial processes of the type required by aluminum and steel producers or calcination processes such as in the alumina, cement and quicklime industries. These two client contracts are very important in many ways for a company like PyroGenesis, not the least of which is the fact that major industry leaders continue to seek out the company. And two companies with the scale and influence of Hydro and GE Vernova, signing with PyroGenesis just a month apart takes us to another level entirely, especially when you consider that both of these contracts are for future-focused multiyear endeavors that are just getting started. They are now moving in anticipation of major long-term change and that's industrial energy transition in action, and PyroGenesis is definitely a part of it with some of the biggest names in the game. We believe it is these types of collaborative long-term relationships that will continue to present themselves over the coming years to meet the growing demand for energy transition across industries. Now over to the Waste Remediation vertical, which provides technology for the safe destruction of hazardous materials and recovery and valorization of underlying substances such as chemicals and minerals that can be reused or resold. In January, we announced the granting of a European patent, which covers PyroGenesis' process for the destruction of ozone-depleting substances such as those used as refrigerants and end-of-life cooling equipment, including fridges and air conditioners. This patent strengthens the position of PyroGenesis' SPARC technology that specifically targets the destruction of those refrigerants such as CFCs, HFCs and HCFCs. The refrigerants are potent greenhouse gases with a global warming potential that can be thousands of times greater than carbon dioxide. And finally, for Commodity Security and Optimization, the vertical tier where the development of advanced material production techniques and the use of technologies such as plasma to recover viable metals, chemicals and minerals from industrial waste, helps to maximize our customers' raw materials and improve the availability of critical minerals. In February, we announced that we had produced a first batch of material from our fumed silica reactor project, which was designed to produce commercial grade fumed silica from quartz in a single eco-friendly system, while eliminating the use of the harmful chemicals used in the conventional production method. For those who don't know, fumed silica is one of the most widely used industrial materials and is often used as a thickening or anti-caking agent to stabilize and improve the texture and consistency of the end product. And those end products include everything from cosmetics to milkshakes to instant coffee, paints, sealants, construction materials and pharmaceuticals, just to name a few. The material produced by our fumed silica reactor during that first batch was visually analyzed and confirmed to be consistent with material seen in the previous lab scale size plant with further test upcoming. The results of those and other tests are expected in the near term with commercial samples scheduled to be sent to key partners such as Evonik under the terms of an existing letter of intent as well as to others under NDA in the period to follow. Further to this, yesterday, on Tuesday, May 13th, we released an update on this project in response to multiple requests from interested parties. In this Q&A style update, we delve deeper into the path we've walked so far to get the fumed silica reactor to where it is today, and we outline the steps and milestones that remain as we move from lab scale to pilot plant and as we get ready to deliver samples to Evonik. Evonik is a global specialty chemical company that for more than 70 years, has been the producer of market-leading fumed silicon products. I encourage you to check out that news release from yesterday for more information. Also in the first quarter, we released 2024 performance data for our NexGen plasma atomized metal powder production system, which outlined improved results, including increased yields of up to 33% to 50% for our key titanium metal powder that's used in the laser powder bed fusion printing process, what the company refers to as laser cut powder. As well, we saw increased operational uptime of more than 25% and a reduction of operational costs by approximately 20%. And finally, in a March 3rd news release, we identified that for the customer for whom a multi-year product certification process has been conducted related to titanium metal powder produced by PyroGenesis NexGen plasma atomization process that all technical requirements for this particular titanium metal powder have been met and that PyroGenesis continues to move forward in that customer's approved supplier list process with an expectation of being formally added to their supplier list in the near term. Obviously, this is a major development for the company, and we will continue to keep investors posted as the customer proceeds with these final administrative steps. To read about these and other events and updates as well as ongoing projects not discussed on this call, please refer to the corresponding section of the news release or the management discussion and analysis, in particular the outlook section of those documents. I'll be back at the end for some final thoughts. But at this point, I'd like to turn the call over to the company's Chief Financial Officer, Andre Mainella to discuss the financials in more detail. Andre?
Andre Mainella: Thank you, Steve, for the thorough business overview. Now let's turn our attention to PyroGenesis financial performance for Q1 2025. As highlighted in the operational update, the company continues to execute on its strategy and ongoing engagement across our verticals. In this section, I'll walk you through our revenue and cost performance, providing insights into the Q1 results. For Q1 2025, PyroGenesis recorded revenue of $3 million, representing a decrease of $0.5 million compared to the $3.5 million recorded in Q1 2024. While this reflects a temporary dip in top-line growth, it's largely due to the timing and stage of several long-cycle projects. We expect momentum from these contracts to carry through in the coming quarters. Key revenue highlights for Q1 2025 compared to Q1 2024 include biogas and pollution control revenue, which rose by $1.4 million, driven by significant progress on our gas desulfurization projects and projects that were not present last year. SPARC sales grew by $0.2 million, reflecting steady advancement with fabrication and completion expected in Q2 and further ramp up scheduled for the fall. On the other hand, we saw revenue softness across DROSRITE, down $0.5 million due to lower spare parts and associated revenues. PUREVAP was down $0.2 million as the project advances through the early validation phases. And in fact, in February, a week-long operation led to the production of the first batch of material. Torch systems was down $0.3 million as a result of project completion, although we continue to provide 24/7 client support. U.S. Navy Support Services was down $0.8 million with milestones pending to client inspections and completion also expected in Q2. And other services was down $0.2 million, reflecting natural variability in timing and client demand. As of May 13, 2025, as Steve mentioned, the backlog stands at $52 million and expected to be recognized progressively over the next three years. It's important to note that the majority of this backlog is in foreign currency. More specifically, 88% is in U.S. dollars. Despite the temporary dip in revenue, gross profit remained stable at $0.8 million, while gross margin improved to 27%, up from 22% in Q1 of last year. This margin improvement reflects a more favorable sales mix and disciplined cost management. Lower material expenses and lower labor expenses helped offset increased subcontract costs as we leverage third-party expertise to support project needs. Turning now to operating expenses. Selling, general and admin expenses totaled $3.7 million in Q1 of 2025, down from $4.5 million in the same period last year, a reduction of $0.8 million. This improvement was driven by lower employee compensation following workforce optimization efforts as well as a significant drop in share-based compensation with no new stock options granted this quarter and continued cost reduction across legal, insurance, and general expenses. These cost reductions were partially offset by a $0.2 million increase in expected credit loss as we continued to apply our credit risk model and a foreign exchange gain of only $50,000 in the quarter versus $280,000 for the same period last year, and this was due to the FX rate of the Canadian to U.S. dollar. Overall, our cost management and operational improvements are driving progress and financial performance. The net R&D expense for Q1 2025 totaled $0.3 million, an increase from $0.2 million in Q1 of 2024. And this increase is due to higher employee compensation and related expenses, reflecting the addition of personnel to develop new technologies and bring improvements to existing products. This aligns with our strategy to enhance innovation and expand our product offerings. The company also continues to benefit from client funded R&D projects, which qualify for SR&ED tax credits, further supporting our investment in innovation. In terms of the quarterly financial costs, it remains comparable at $286,000 versus $195,000 last year. The slight increase is due to other interest and penalties and also to the interest accretion on the balance due on business combination. This is based on the expected timing of payments. This increase is offset by less interest on the convertible debenture due to the reduction of the liability. Moving on to the fair value adjustment of strategic investment, which resulted in an expense of approximately $700,000 in the quarter. This was based on the decrease of the share price of HPQ common shares, which directly affects the value of the investment and the fair value of the warrants owned by PyroGenesis. As for the comprehensive loss, which as a result of the items discussed is a loss of $4.4 million for both the current quarter and comparable quarter last year. Although the operating loss was favorable by $0.7 million versus last year, this was offset by a higher expense related to the fair value adjustment of strategic investments. The EBITDA, which was a loss of $3.7 million versus a loss of $3.8 million for 2024. This is a result of the add-back of depreciation and financial expense being higher than in Q1 of 2024, but offset with the lower amortization of intangible assets. The modified EBITDA also improved by $0.2 million versus Q1 2024. This financial measure excludes the impact of share-based compensation expense and fair value adjustments of investments, and it helps investors to better understand the financial performance and operations. This wraps up the financial performance review of Q1 2025. I'll now hand it back to Steve for some final comments. Thank you.
Steve McCormick: Thanks very much, Andre. On behalf of the company's President and CEO, Peter Pascali, and the Board of Directors, the company expresses continued confidence that we are on the right path. Our backlog of projects is very strong, and we are in the final stages of some very important initiatives, as mentioned above. And we have started new long-term collaborations with industry leaders that we believe signify with the future holds for energy transition-related technologies such as our own. We believe we have solutions in place right now, the heavy industry needs for their energy transition, but we are not standing still, and we are dedicated to advancing and scaling our technology even further. As more industries with more high temperature processes see the benefit of electrifying, we believe the continuing expansion of the overall addressable market for plasma at both the higher and lower ends of the heavy industry client spectrum will occur. As we said in our previous call, one of our aims is to be an essential part of the final mile of industrial energy grid infrastructure during the coming period of major grid expansion and widespread changes to the industrial energy mix and that aim still very much holds true. Finally, in addition to deeper customer collaborations and the advancements of our technology, we wanted to note that we continue to make strides in cost savings and efficiency measures. Continuing the cost optimization program that began in fiscal 2024, which resulted in over $3 million in recurring savings, the company has already identified areas of optimization in early 2025. To date, the company has identified savings and patent expenses, insurance and optimization of the workforce for a net benefit of $2 million and the company has targeted $3 million to $5 million in total cost optimization for 2025, and these are permanent cost savings that are in addition to the 2024 savings, which will benefit the company on a recurring annual basis. All cost optimization is done with a view to not jeopardize revenue or jeopardize market competitiveness. On behalf of the company, the company's President and CEO, Peter Pascali, and the Board of Directors, we would like to say that the company remains on track and committed to driving shareholder value and continues to focus on innovating, improving efficiency, growing its customer base and engaging with existing and potential new customers around the world, on a variety of exciting new business opportunities. We look forward to providing you with additional updates in the very near future. A reminder to submit any questions you may have about the company and its projects to our Investor Relations department as we may follow-up with response news release to any notable questions that we're allowed to answer. Thank you, again, and good morning. Operator, please end the call.
Operator: Ladies and gentlemen, this does conclude today's program, and you may now disconnect.
End of Q&A: